Operator: Good afternoon, ladies and gentlemen. And welcome to the Regulus Therapeutics First Quarter 2014 Conference Call. My name is Latoya, and I will be your coordinator for today. I would now like to turn the conference over to Amy Conrad, Director, Investor Relations and Corporate Communications. Please proceed.
Amy Conrad: Good afternoon and thank you for joining us. On behalf of Regulus Therapeutics, I would like to welcome everyone to our conference call for the quarter ended March 31, 2014. I hope you've all had a chance to review today's press release. If you have not and you need a copy, you can visit our website at www.regulusrx.com. Joining me on today's call are Kleanthis Xanthopoulos, Ph.D., President and Chief Executive Officer; Neil Gibson, Ph.D., Chief Scientific Officer; and Dan Chevallard, Vice President, Finance and Accounting. During today's call, Kleanthis will provide introductory remarks, Neil will provide an update on our microRNA therapeutic programs and Dan will summarize our first quarter 2014 financial results. Following your questions, Kleanthis will wrap up the call. Before we begin, I would like to remind you that this call will contain forward-looking statements concerning Regulus' procedure expectations, plans, prospects, corporate strategy and performance, which constitute forward-looking statements for the purposes of the Safe Harbor provisions under the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from those indicated by these forward-looking statements as a result of various important factors, including those discussed in our filings with the SEC. In addition, any forward-looking statements represent our views only as of the date of this webcast, and should not be relied upon as representing our views as of any subsequent date. We specifically disclaim any obligations to update such statements. At this time, I would like to turn the call over to Kleanthis.
Kleanthis Xanthopoulos: Welcome everyone and thank you for joining us this afternoon. We had a great start to 2014, our achievements over the last quarter and recent period has continued to solidify our leadership position in the field of microRNA therapeutics. We have successfully advanced our microRNA therapeutics pipeline by initiating the phase 1 study for RG-101 reporting positive data from our oncology program and moving our discovery efforts forward. We also expanded our microRNA through our markets platform with the equation of Regulus microMarkers R&D division. In addition, we have boasted our intellectual property portfolio to strengthen our strategic partnerships to maintain a solid financial position. And finally the goals under our clinical mapping should have remained on track. Most notably, the last quarter we were pleased to have those our human subjects in our phase 1 clinical study all RG-101 a GalNAc-conjugated, anti-miR targeting miR 122 for the treatment of chronic hepatitis C virus infection or HCV. This is an important milestone for the company and we expect to achieve another significant milestone in this program by the end of this year. In order to demonstrate our first human proof of concept result from part four of the phase 1 study of RG-101. If favorably inclined these data will serve as validation of our microRNA as a (inaudible) platform and will further enhance and advance the field of RNA therapeutics. In addition to commencing our first clinical study, we are also very pleased to have renewed our strategic alliance with Sanofi, to focus on oncology and often this as targets specifically microRNA 21 for kidney fibrosis and hepatocellular carcinoma, in microRNA 221/222 also hepatocellular carcinoma. We expect to drive each of these programs to human proof of concept at which time Sanofi has an option to take over development and commercialization. If Sanofi exercises the option we will receive significant auction free payments and we will be reimbursed for the majority of the cost for each one of these programs. Regulus is also eligible to receive milestone payment of up to 101. 8 million for proof of concept exercises, $15.0 million for clinical milestones and up to $300.0 million for regulatory and commercial milestones. Finally, we also have an option to co-promote in the United States or receive royalty payments in the mid 10% to 20% range. In other business highlight in the quarter was the relationship formed with the Alport Syndrome Foundation, a non-profit corporation, focused on raising awareness and finding acute Alport Syndrome a life-threatening orphan kidney disease with no approved therapy. Recently, we eliminated our second clinical candidate RG-012, an anti-miRNA targeting microRNA-21 for the treatment of Alport Syndrome. Relationships like this are critical to helping us in hand serve scientific research to explore noble treatment for orphan diseases. We look forward to raising awareness of these life threatening disease while we rapidly advance our micro-RNA-21 into clinical development. In addition to RG-101 and RG-012, we intend to nominate a third microRNA candidate for clinical development by the end of this year which is a key goal under our clinical map initiative. This candidate may come from our proprietary efforts or from any our partner programs. If we may succeed, we may have free clinical programs in 2015. We set such aggressive goals before we never been more bullish on the science and the potential of targeting microRNAs have to treat diseases. In the last several years about logical knowledge of mircoRNA is increasing exponentially, in 2015 there were over 7,000 paper of republications in microRNAs and this year the predicted number of publications is estimated to increase to over 9,000, thus providing us with a valuable biological knowledge. Incidentally, the biology of micro-RNA is well suited to three complex multifactorial diseases and we focus internally and with our partners on several attractive therapeutic opportunities in oncology fibrotic condition such as Alport Syndrome, metabolic and inflammatory diseases and finally HCD. In addition to our deep understanding of the micro-RNA biology in these disease areas we also take into consideration areas of high-end mathematical needs and poly pre-clinical evidence and validated animal modules of which disease. In short, our opportunities are significant. We continue to believe that our micro-RNAs will transform the traditional drug development model and become a new and major class of drugs with broad therapeutic applications. With these introductory marks, I would like to turn the call over the Neil to summarize our recent scientific programs and provide some insights into the existing programs. Neil.
Neil Gibson: Thank you Kleanthis and good afternoon everyone. We are very pleased with the scientific progress we have made in the first quarter under our clinical mapping initiative we continue to evaluate our G101 in human subjects, advance our G012 towards clinical development and are on track to selecting a third clinical program by the end of the year. In March we does our first human subject with the miroRNA therapeutic in the phase 1 clinical study of RG 101 a GalNAc-conjugated anti-miR targeting miR-122 for the treatment of HCV. In preclinical studies we have shown RG 101 is potent and safe with the mechanism of targeting miR-122 being and genotypic. In addition of MiR-122, it has not yet been associated with viral resistant. The phase 1 clinical map for RG-101 has four parts, first the single ascending dose study in the healthy volunteers. Second, multiple ascending dose study in healthy volunteer subject, third a single dose drug-drug interaction study of RG-101 in combination with an approved DAA and healthy volunteer subjects and four a single dose study in HCV patients to assess the safety and viral load reduction which is designed to demonstrate human proof of concept. The primary objective of the phase 1 program is to evaluate safety and tolerability and the secondary object is to evaluate pharmacokinetics vital load reduction and any impact DAA may have on the pharmacokinetics of RG 101. Uptill a 100 healthy volunteers subjects and HCV patients are planned to be enrolled in the study. By the end of the year, we expect to demonstrate human proof of concept from part four of the study which is a key corporate goal under our clinical map initiatives. Our second development program is RG-012 and anti-miR targeting micro-RNA 21or miR 21 for the treatment of Alport Syndrome. A life-threatening kidney disease driven by genetic mutations in the type for collagen family proteins, 43, 44 or 45. The impact of the mutation in the collagen genes results in destruction of the structure glomerular basement membrane, increased expression of miR21, increased fibrosis and loss of renal function leading to end-stage renal disease, dialysis or transplantation. In preclinical studies, RG-012 has demonstrated potent inhibition of miR-21 in vitro and in vivo, a decrease in the rate of renal fibrosis and 50% increase in life-span of mice harboring a collagen 403 mutations, similar to the collagen 403 mutations observed in human patients with Alport Syndrome. And finally our favorable pharmacokinetic profile, this of course the potential for once a week dosing regimen. As Kleanthis mentioned early in the call, we are pleased to be working closely with the Alport Syndrome foundation. We are hopeful that our relationship with the foundation will advance our understanding of the disease as we advance RG-012 into the clinic. During the first quarter, we prepared for upcoming clinical studies with RG-012 by initiating IND-enabling activities and continuing to build the clinical map for RG-012. We will conduct a pre-IND meeting with the U.S. Federal Drug Administration in the second quarter to help clarify the regulatory path forward. During this meeting, we expect to discuss the current clinical development strategy for RG-012 in order to help us establish appropriate clinical end points for any future clinical studies. In the third quarter of this year, we expect to initiate a natural history of disease study to learn more about the actual progression of Alport Syndrome by documenting decline in certain renal biomarkers such glomerular filtration rate or GFR. In the first half of 2015, we expect to initiate a phase 1 clinical study to assess the safety and pharmacokinetics of RG-012 after both single and repeat dosing in a healthy volunteers. If the phase 1 results are favorable, the anticipated that we make conduct phase 2 study of RG-012 in Alport syndrome patients which may be designed to determine proof of concept. Additionally, in the fourth quarter of this year, we expect report our first combination data of RG-012 with the Angiotensin Converting Enzyme or ACE inhibitor. ACE inhibitors are emerging as the standard of care in patients with Alport Syndrome and are used to treat the proteinuria associated with disease. The combination data will be important to show the utility of adding micro-RNA therapy to the synerging standard of care. We look forward to reporting continued progress on this exciting program. As part of our clinical map initiating the intent to nominate a third candidate for clinical development before the end of year which may come from a proprietary efforts of a partner target program. To that end, we continue to pursue several and disclosed micro-RNA namely for an oncology and orphan diseases and to expand our therapeutic pipeline. Specifically, we continue to advance our oncology portfolio and present a positive preclinical data on miR-21 and miR-221-222 for the treatment of hepatocellular carcinoma or HCC, the most common form of liver cancer. This work was presented at the American Facilitation for Cancer Research annual meeting or [KUCR] last month. We also presented data from biomarker discovery studies evaluating the pharmacodynamics signature for assessing miR-21 inefficient and the micro-RNA expression in the tumor tissues in mice models of HCC. The data provide further evidence that miR-21 and miR-221-222 are validated preclinical targets for the treatment of HCC. As Kleanthis mentioned Regulus is responsible for driving these programs to proof concept, at which point Senofi has an option to take over for the development in commercialization. If Sanofi chose these exercises options on these programs, this will trigger significant payments to Regulus. In addition we are eligible to receive clinical regulatory and commercial milestones as described earlier by Kleanthis. Currently, we are optimizing anti-miR in each program for potential clinical development. In addition to the miR-21 and miR-221 – 222 program we also advanced our miR-19 program for lymphoma with AstraZeneca. We remain excited about the opportunities that micro-RNAs have in cancer and we look forward to reporting for the progress from our oncology portfolio later in the year. To round our portfolio, we also continue to advance our biomarkers technology platform with our Regulus micro-markers R&D division. This division is indentifying micro-RNAs and biomarkers for disease and supports our growing therapeutic pipeline, our strategic alliance partners and our collaborators. We plan to present additional biomarker data at the upcoming [types] research meeting on May 12 through 15 in North Island, an overall presentation on May 14th titled the prognostic and projected utility of measuring biomarkers in serum and other bodily fluids. Regulus will demonstrate the distinct microRNA signatures can distinguish patients with multiple sclerosis or MS from normal volunteer and identify colorectal cancer patients with high risk of liver metastasis. As a reminder, we have ongoing research collaboration with Biogen Idec to identify microRNA biomarkers for MS. In addition to the MS, we are also working to identify a micro-RNA signature that may be both prognostic and predictive for patients with rheumatoid arthritis. To summarize, the first quarter 2014 has been very productive on the scientific front, the clinical match for RG 101 and RG 012 are on track and we look forward to building a meaningful clinical portfolio. With that, I will turn the call over to Dan to summarize our first quarter 2014 financial results.
Dan Chevallard: Thank you, Neil and good afternoon. In the first quarter of 2014 we maintained our strong financial position and finished the quarter 114.6 million of cash, cash equivalence and short-term investments. Our cash position as of end of the first quarter was strengthened by $10 million equity investments from the Sanofi in connection with the renewed strategic alliance which was completed in February. Turning now to our financial results, recognizes revenue of $1.6 million in the first quarter of 2014 compared to the revenue of $3.2 million for the same period in 2013. Revenues during this period consisted primarily of amortization of upfront payments received from our strategic alliances and collaborations which we recognize for our estimated period of performance. Total operating expenses were $12.3 million in the first quarter of 2014 compared to an $8.8 million for the same period in 2013. Our research and development expenses were $9.6 million the first quarter of 2014 compared to $6.9 million for the same period in 2013. This increase was primarily driven by the initiation of our phase 1 clinical study for RG 101 and continued advancement of other development programs including RG 012. We expect our research and development expenses to increase as we initiate additional clinical studies and regulatory filing activities in the future. Our general and administrative expenses were $2.7 million in the first quarter of 2014 compared to $1.9 million for the same period in 2013. This increase was primarily driven by an increase in salaries and related employee cost including non-cash stock-based compensation expense and other operating costs. Or net loss for the first quarter of 2014 was $12.7 million or $.30 per share compared to a net loss of $7.2 million or $.20 for the same period in 2013. As previously guided, we expect to finish 2014 with at least $75 million in cash, cash equivalent and short-term investments. With that, I will turn it back Kleanthis to ramp up the call.
Kleanthis Xanthopoulos: Thank you, Dan. In closing, we had a very busy and satisfying start 2014 on both the business and scientific fronts and remain bullish on our leadership position in the field of micro-RNA therapeutic. We have several important catalysts coming up under our physical map initiative. By the end of the year, well have the unique opportunity to demonstrate our first proof of concept result with RG 101 which is favorable may validate our microRNA technology in advance in the overall RNA therapeutic space. Decently, we are on track to initiate a natural history of disease study of RG-102 for the treatment of Alport syndrome in the third quarter of this year and we continue to plan for phase 1 clinical study in the first half of 2015. We also expect to nominate the third micro-RNA candidate for clinical development by the end of this year potentially giving us three clinical stage programs in 2015. So it has been a very productive quarter in a recent period and we hope to carry this positive momentum throughout the month of the year. We look forward to advancing the program and continue to build a meaningful clinical portfolio based on micro-RNAs. Thank you again and with that I’d like to turn it over to the operator to take some questions.
Operator: (Operator Instructions) And the first question is from Alan Carr of Needham. Your line is open.
Alan Carr – Needham: Hi, thanks for taking my questions. What can you comment on your selection process for the third target and what sort of bandwidth you have beyond three programs at the time and then also your thoughts on oncology versus rare disease if you have a and I know you’re working in both of them, I wonder if you have bias towards one of the other. Thanks.
Kleanthis Xanthopoulos: Hi Alan, I would be -- it’s a two part answer and I’ll cover the first and then turn it to over to Neil for a little more specificity on the science front. As you know, part of our strategic financial planning excises that we conduct very regularly, we have disclosed that at any given point we’ll have anywhere between six and eight programs and this is a combination of preclinical and clinical programs that are satisfied fully in critically being, having insufficient resources to have a critical impact on the portfolio. So, it is a very good point that raised and we actually do have the bandwidth should will be successful with additional clinical programs to move them to the clinic and again we have been communicating that thought clinical candidate which will may be to have thought clinical program by next year the base case scenario we have at least a handful of programs competing competing for our attention and we believe that at least one will limited the candidate but there is a room for additional ones the science continues to be a successful. Neil, any comments particularly on the transverse versus orphan?
Neil Gibson: Hi, Alan. Obviously, we have an internal strategic focus on oncology by default the majority of oncology programs are orphan diseases and orphan disease approaches is a mix part of our program some of their own exploratory work and from the projects where we have three or four projects are moving in parallel and a number of them are obviously have already shown of preclinical proof of concept both in their internal work as well as published literature that helps support the validation around those programs.
Alan Carr – Needham: All right, thanks very much.
Operator: Thank you and the next question is from Christopher James of Brinson Patrick Securities. Your line is open.
Christopher James – Brinson Patrick Securities: Hi, good afternoon and thanks for taking my questions and congratulations on progress you have made this quarter. My first question was related to pre-IND meeting with the FDA, just given that there was so much data in kidney disease and around specific end points and if there is nothing really for Alport Syndrome other than (inaudible), do you think you will get an opportunity to discuss may be accelerated approval under sub part H, during this meeting or is that too forward looking?
Dan Chevallard: The focus of the meeting is to have the discussion with the agency around our early clinical development plan and also the regulatory fast-forward which would include the discussions around what type of approval is best suits for the program.
Christopher James – Brinson Patrick Securities: Okay, thank you.
Kleanthis Xanthopoulos: Just to provide little more specific thing here we have disclosed yesterday at an investor conference meeting that date for this pre-IND meeting is June 2, so it’s literally around the corner. We have submitted all the appropriate materials and we are looking at both in orphan designations and potentially layout development path that could lead to accelerate the program.
Christopher James – Brinson Patrick Securities: Great, thank you. That's helpful. And Neil, you mentioned in the past a number of biomarkers outside of GFR or (inaudible) GFR, could you briefly touch upon those again and maybe help us understand whether they are may be relevant in Alport syndrome?
Neil Gibson: Yes, so well obviously in addition GFR, will be looking at marker such as beta-2 microglobulin, the creatinine both serum and urinary creatinine as well as a number of exploratory biomarkers including micro-RNAs in the serum or urine, obviously the GFR and the creatinine of the low hanging fruit and the focus will be really to document the rate of change of those markers in patients with Alport syndrome will predominantly stage or what have stage 3 chronic kidney disease, so that we can really monitor the rate of decline of renal function and use that information as we plan our phase 2 study.
Christopher James - Brinson Patrick Securities: Great. Thanks for taking my questions.
Operator: Thank you and the next question is from Jim Birchenough of BMO Capital. Your line is open.
Jim Birchenough - BMO Capital Markets: Hi guys, congrats on all the progress over the quarter, a few questions just on the Alport syndrome program and the pre-clinical data, is there where to bench mark what we have seen with anti-MIR 21 and what we see with the ACE inhibitors pre-clinically when we look at your results versus what has been shown pre-clinically for ACE in (inaudible)?
Neil Gibson: Yes for the ACE inhibitors, the published work in those(inaudible) on which had the collagen or the mutations in the collagen gene which is showing instead of the 25% implement in survival and our studies with the MIR 21, anti-MIRs we have been able to depending upon the background strain of the mouse to show survival ranges that goes from 20% increase in survival to 50% increase in survival and then when we get to the combination where we will be able to show when we show this data later this year that opportunity for those two drugs to be potentially synergistic.
Jim Birchenough - BMO Capital Markets: And Neil on the natural history study, could you may be go through each what the time frame is for getting meaningful data from that study does that could inform a proof of concept study, I am just trying to get a sense of the timing of that natural history study and does that become getting on doing a proof of concept study.
Neil Gibson: So ultimately when we start the natural history study in the second half of this year and start the phase 1 SAD/MAD program the first of 2015 will be already six months into the natural history study before we start the SAD/MAD part and that's, it’s likely that the SAD/MAD would take anywhere between three and six months, so we are anticipating having a minimum of six months or may be longer data on the natural rate of decline of renal biomarkers in patients with Alport syndrome and use that information as we design this phase 2 study.
Jim Birchenough - BMO Capital Markets: Got it and then be Kleanthis, just a broader question when you think about 9,000 or so publications that will come this year and what we saw in prior year, what’s your approach to consolidating your leadership position in microRNA therapeutics and how active are you in identifying orphan opportunities and oncology opportunities within this publications and collaborating with academic centers, I am just trying to get a sense of how you leverage all this data that's being generated?
Kleanthis Xanthopoulos: Jim, it’s a very good question. I think from one of Regulus existence we had a network of what we called the great Regulus and any given time we had up to 30 academic collaborations from multiple different microRNAs and in that interest whereas continue to increase we have selected to be a essentially in the study state in terms of our external collaboration with (inaudible) we collaborate but we do have, I think a very sophisticated system by which we a verify the data that are being published and its really another lands of biological knowledge very strong at and then we relate that our strategic interest to a lot of the pharmacological approaches to comparative landscapes and then down to how quickly can we develop a potential drug for that indications. So we have a very freedom set of filters that address a variety of different factors before we prioritize the number of programs that we are going to run and I continue to say that our biggest problem is what not to do. So you will hear in the future specifically as additional programs come up and percolate to the surface so begin to invest significant amount of money of additional programs that satisfy the strategic focus and all the other criteria that I mentioned before. So this is a work of very active focus of our R&D and business group that continue to prioritize the opportunities that we have.
Jim Birchenough - BMO Capital Markets: Is there anything that jumps out of your plans, this one is for Neil, from the literature we have seen recently as an area of particularly I guess exciting data that might be worth pursuing, is this a one area in particular that's most exciting from your prospective?
Kleanthis Xanthopoulos: The vast majority of the publications in the microRNA is continue to be oncology and that's to be expected as they are all microRNA’s is so evident in multi-factorial diseases where a single gene approach cannot necessarily satisfy the correction of the disease phenotype. So on the last count, more than 40% of the 9,000 we are dealing with oncology show that's a natural kind of affinitive that we have including of course the vast expertise that Neil has in the area but we continue to be very interested in unique orphan diseases such as the kidney fibrosis and other indications from may give us the opportunity to designating an orphan program and look for accelerated approval. One more comment that I would say all this biological knowledge impartially because we have executed exactly on track from number of programs that we have been discussing with you guys over the past year and half. We have accelerated the development of our due part of the organization, the clinical development part in building a clinical organization that would be able to continue to support that progressing to the clinic and finally of course we continue to be very aggressively expand our IP position being on the forefront of micro-RNA therapeutics we collectively have more than a thousand patterns and they aggressively looking either free licensing with their overall efforts to continue to expand that intellectual property.
Jim Birchenough - BMO Capital Markets: Great, thanks Kleanthis.
Operator: (Operator Instructions). The next question is from Bill Tanner at FBR Capital Markets. Your line is open.
Bill Tanner - FBR Capital Markets: Thanks for taking the question. Congrats on the progress. Kleans, I had a question on one-to-one and (inaudible) so with this respect if you don’t have but just would be curious was there any comment on the enrolment case relative to expectations.
Neil Gibson: Bill, this is Neil. We are actually on track with our enrolment that way we set up development plan in the phase 1 program is going exactly according to schedule.
Bill Tanner - FBR Capital Markets: Okay, so still POC by the end of the year hopefully?
Kleanthis Xanthopoulos: Yes, you will see collective data of close 300 subjects and in terms of safety and tolerability and the proof of concept of in HCV patients of both genotype 1 and genotype 3 this year.
Bill Tanner - FBR Capital Markets: And based on historical kind of goal testing in HCV, I mean we have seen that with the descent size sample in patient and may be descent response that those would be reasonably, can be reasonably viewed as derisking or viewed as reasonably derisking is that kind of a fair way to look at it in terms of proof of concepts and having pre-meeting for proof of concept, yes. Okay, it really increasing the confidence I guess.
Neil Gibson: Yes that's what exactly what we are anticipating Bill that we will be able to see a significant viral load reduction based upon everything we know from the published literature and then ongoing internal pre-clinical studies.
Bill Tanner - FBR Capital Markets: Okay and then as you think about the 21, for Alport and 21 potentially for HCC, how do you think about bifurcating the commercial opportunity because I am assuming that for Alport that would chronic therapy and for HCC not, so would you see there being a way to take advantage I guess enlargement versus may be in oncology situation with respect to the maximizing commercial opportunity.
Neil Gibson: So one of the things we have been focused on is really making sure that we have an optimized compound for our own oncology efforts and specifically not only the compound but also the formulation. So ultimately one could look at these as two separate entities where the miR-21 and Alport syndrome therapy is (inaudible) formulated subcutaneous injection and the modality of the therapeutic for oncology’s likely to be a different chemical entity formulated in the different way.
Bill Tanner - FBR Capital Markets: Okay, so that would be a different sequence even the potentially.
Neil Gibson: The same sequence but at different pattern of modification potentially with a different formulation.
Bill Tanner - FBR Capital Markets: Got it.
Neil Gibson: It potentially have a different life to...
Bill Tanner - FBR Capital Markets: Okay, alright. Thanks very much.
Operator: Thank you. There are no further questions in queue at this time; I will turn the call back over for closing remarks.
Kleanthis Xanthopoulos: Thank you all for participating the call, I know it has been a very busy season for you guys with the all the calls with, we appreciate your interest in Regulus and look forward to communicating our progress with you guys shortly. Thank you.
Operator: Ladies and gentlemen that concludes today’s conference call. Thank you for your participation. You may now disconnect. Good bye.